Operator: Good afternoon, ladies and gentlemen, and welcome to Eni’s 2012 First Quarter Results Conference Call hosted by Alessandro Bernini, Chief Financial Officer. For the duration of the call, you will be in listen-only mode. However, at the end of the call you’ll have the opportunity to ask questions. I’m now handing you over to your host to begin today’s conference call. Thank you.
Alessandro Bernini: Good afternoon, ladies and gentlemen, and welcome to our first quarter results conference call. Before I take you through the financial results, let me give you a summary of the main highlights of the quarter. In E&P we are continuing to strengthen our long-term growth prospects. Our exploration continues to deliver exceptional result. In the first three months of the year, we added around 1 billion BOE of new exploration resources through Mamba North 1 in Mozambique areas in the Barents Sea, which together with Skrugard has recoverable resources of 500 million of barrel. And other discoveries in proven or near field areas. Meanwhile, you will have seen that we have signed strategic agreement with Rosneft to gain access to very promising exploration licenses in the Barents Sea and in the Black Sea, increasing the potential of our portfolio and providing support to long-term growth prospects. In gas and power, in March we completed the renegotiation of our gas supply contracts with Gazprom. The recognition of the associated economic effects was reflected to the beginning of 2011, and is included in our Q1 marketing results. Finally, we are progressing on our strategic objective of our lock-in value from our non-core leased assets. Regarding Galp, on March 29, we signed an agreement to sell 5% of the company to Amorim for 14.25 euro per share. Once this sale is completed, we will have significant optionality on the disposal of our stake. With regards to Snam, I’d like to remind you that the Italian government has asked legislation envisaging the completion of our exit by September 2013. The method by which the separation will occur will be defined by a government decree to be issued at the latest by the end of May. Turning now to our results, in the first quarter of 2012, the market environment was broadly positive. This was mainly driven by different price, which average $118 barrel, up 13% compared to the first quarter of 2011. The euro dollar exchange rate was also supportive at $1.31 per euro, with an appreciation of the dollar of 4.1%. However, the European refining margin Branch Euro was $3.3 a barrel, in line with the first quarter of last year. In the first quarter of 2012, adjusted operating profit was €6.45 billion, up 26.5% from the first quarter of 2011. This was due to the better operating performance reported by the exploration and production division, up 24% and to the increased results of the gas and power division, up 57% driven by stronger profits from the marketing segment. This was partially offset by weaker results in R&M and Chemicals. In the first quarter of 2012, adjusted net profit was €2.48 billion, up 13% compared with a year ago as a result of better operating performance. This positive effect was partially offset by higher financial charges, which increased by €207 million, and a higher consolidated tax rate, up approximately 6 percentage points. The physical impact was the result of a high fluctuating E&P, and to the revision of the so called rough impacts inactive over 2011. Looking at more detail at the exploration and production. In the first quarter of 2012, in reported liquids and gas production of 1,674,000 barrel of oil equivalent per day, representing a small decrease from the first quarter of 2011, down by 10,000 BOE per day or 0.6%. Excluding price effects, which reduced Q1 production by 14,000 barrels of oil equivalent per day, compared to the year-end earlier quarter, the production for the first quarter was marginally higher, up by 0.2% driven by the ongoing recovery in Libyan production and start up ramp up of new fields in Australia, Egypt and United States. These positives offset negatives from the sale of minor assets and some minor unplanned production losses. The exploration and production division would have thought in an adjusted operating profit of €5.1 billion, increasing by €180 million or 24% on the back of a stronger oil and gas prices and the recovery in Libyan activities. In gas and power, overall volumes sold including consolidated and associated companies fell by 5.4% to 29.9 Bcf, decline is mainly due to weak demand and higher competitive pressure in Europe. In Italy, overall sales rose by 1.4% with higher demand from residential user and higher sales to the network balancing market more than compensating declining volumes sold to power generation and wholesalers. The gas and power division reported an adjusted operating profit of €1.5 billion, increasing by €546 million, or 57% from the first quarter of 2011. It is worth reminding you that the first quarter marketing results reflect the benefits of the finalized renegotiation with Gazprom retroactive for the whole of the 2011. Gas and power adjusted pro forma EBITDA for the first quarter of 2012 rose €1,641 billion, up by €587 million or 56% compared to the same quarter of 2011. The increase is attributable to the marketing business, which more than doubled the result of the year earlier quarter. Excluding the portion of benefit from the Gazprom renegotiation associated with previous quarters, the marketing segment reported stronger results driven by improved supply costs associated with the revision on long-term gas supply contracts and the recovery of Libyan imports and the stronger seasonal sales moving to the particularly cold winter. This positive was positive and was partially offset by a slowdown in demand across Italy and Europe and rising competitive pressures. The regulated businesses in Italy recorded a 4.3% increase in results, while the international transport activities reported a lower operating performance reflecting the asset divestment which occurred at the end of 2011. In the first quarter of 2012, the refining marketing business reported an adjusted operating loss of €288 million. The deterioration compared to the first quarter 2011 reflected weak industry fundamentals across Europe. In addition, refineries also continue to be adversely impacted by rising cost of energy utilities indexed to oil prices and shrinking price differentials between light and heavy crude. Our initiatives to contract this very weaker trading environment included efficiency announcement dealt by initiation of supply activities and lower throughputs at the weakest refineries, including temporary shutdown. As a result, the utilization index of our refineries fell to 63% compared to 82% in the first quarter of 2011. Marketing results were negatively affected by decline in retail and wholesale demand for gasoline and gasoil, dampened by a cyclical downturn and competitive pressures, while selling margins retail and wholesale markets were squeezed by a rapidly arising commodity cost that were only partially transferred to prices at the pump and clients. In the first quarter of 2011 the chemical division reported substantial operating losses of minus €162 million. The negative performance was driven by higher cost for oilfield stock which impacted the unit margins as product demand suffered in a recessionary environment. This was particularly true for basic chemical commodities with the benchmark record margin falling in negative territory. Engineering and construction business reported a strong operating performance, which was up by €32 million or 9.4% to €374 million from Q1, 2011. Other activities incorporated showed an aggregate loss of €127 million in line with €129 million in the first quarter of 2011. Net cash generated by operating activities amounted to €4.2 billion, capital expenditure for the quarter has been €2.9 billion mainly related to continuing development of oil and gas reserves, the upgrading of rigs and offshore vessels belonging to Saipem and the upgrading of Galp infrastructures. The Group also incurred expenditures of €500 million related to the financing of the Nuon Belgium acquisition and joint-venture projects. Net financial debt at 31 of March 2012 was down by €600 million from December 31, 2011 improving our leverage from 46 to 43. Thank you for your attention and now with my colleagues, I’ll be pleased to answer to your question.
Operator: (Operator Instructions) First question comes from Mr. Theepan Jothilingam from Nomura International. Mr. Jothilingam, please.
Theepan Jothilingam – Nomura International plc: Yeah, good afternoon Alessandro. Three questions please, firstly just on Snam, I know we’re waiting for government to creep, I was wondering whether you had any increase visibility on when you – whether you think the disposal would be for cash or whether you think a spinout is a more likely outcome? And second on GAAP, sort of the second process, I guess or second part of the process on a divestment is – it’s certainly 18%. Again, do you have any view on timing, whether you believe those shares will be fed into the market or is there a strategic investment that you will be discussing a disposal way? And then the third question, just on exploration, very exciting agreement you’ve made with Rosneft, I was just wondering, do you have any color on the timeline of workflow there, when you expect to drill a first well? And then secondly, just is there any commitment of capital as part of that deal? Thank you.
Paolo Scaroni: So as far as the agreement recently signed with Rosneft, I’ll pass the table to my friend Claudio Descalzi, who is with me now. But just starting to answer to your question as far as Snap and the Galp. Snam, as you have already anticipated is still too early to make any assumption about how the separation will take place, and for sure it is – I believe not correct to speculate about what could be the potential transaction, which will be realized. But however, you know quite well that our suggestion, our strategy which of course we are suggesting, supporting to the government is a strategy, whereby the famous three pillars of our strategy must be satisfied, which means that transaction to be realized, it must be satisfactory, it must be good for our shareholders, and the shareholders of Snam as well. But in particular, at the end of the transaction Eni, must be stronger than before; which means that Eni can be stronger only to the extent a cash transaction will take place. So for sure we are supporting a strategy, whereby a cash consideration will be recognized to Eni. We’re discussing with the government, and I can say that, so far we are a little bit positive in this respect. As far as Galp, as you correctly stated, after having sold the first 5% to Amorim at an agreed-upon price of €14.25 per share, then we will be free to sell in the market the 18% or 20% depending on the possibility to place also a convertible bond. As far as the type of transaction which can be applied in order to dispose the 18%, we can either refer to say a market type of transaction, accelerated to building private placement (inaudible) or we can have access also to a strategic buyer. In this latest situation we have still to agree the identity of the potential buyer with Amorim, but based on the approach, there our solicited offer which we have received so far either from the financial institutions and strategic investor, I do not expect to face any major problem in finding an agreement with our former partner Amorim. So I am pretty confident that already in 2012, we will be in a position to dispose a significant stake, significant portion of our stake in Galp.
Claudio Descalzi: Thank you. For Russia, the agreement we signed with Rosneft is a strategic agreement that include the Russian activities, and will be followed by activity our alliance also aboard, outside Russia. Talking about Russia, the scope of these agreement as you know is the exploration development of three licenses, two in the Barents Sea and one is Black sea. We have a commitment to acquire seismic data 2D and 3D in the Barents Sea, and Rosneft has already acquired 2D and 3D seismic in the Black sea. So internal commitment talking about sea gas, we have a significance to treat to four wells for a expenditure around $800 million, and additional two contingent appraisal wells in the Barents Sea for an additional to $200 million. So that is the main commitment. Internal programs, now we finalize agreements. We have to pass through the (inaudible) agreements and a GOA, and I think that will be done in the next four or five months. And then we’re starting our activity and we’re starting probably in Barents Sea and Black Sea. I think that first wells will be drilled – of the full year plan so 2014, 2015.
Theepan Jothilingam – Nomura International plc: Could I just follow-up coming back to your statement, Alessandro, one upon Galp. Should one see the €14.25 as a floor price for you to sell on any further stake?
Alessandro Bernini: Well, of course the environment compared to the timing when we have agreed the €14.25 per share with Amorim, the environment has been a little bit changed. So I don’t want to fix any floor or cap for – to target, as a target for our future sales. But what I can say is that, for sure the present, the prevailing market price do not meet our minimal expectation. So for sure, it must be significantly higher compared to what is today the stock price of Galp.
Theepan Jothilingam – Nomura International plc: Very clear. Thank you very much.
Operator: Next question comes from Iain Reid from Jefferies. Mr. Reid, please?
Iain S. Reid – Jefferies International Ltd.: Hi, good morning, gentlemen – sorry, good afternoon. Kind of ask you two questions, firstly, is it possible you can tell us in the gas and power division, and you marketing segments, the amount of the 2011 contribution, which was made, obviously, we like to forecast the number going forward into the full year. So I really need to know what that element was, because obviously it’s not repeatable. And secondly, for Claudio, is it possible you can update us on what’s happening on the unitization on the Mozambique blocks, and what the program is for 2012, and may be ’13 in terms of the exploration targets, the appraisal targets which you’ve got in mind following the completion of the current, I think it’s called the Coral while you’re drilling at the moment. Thanks.
Paolo Scaroni: On your first question on gas and power, unfortunately we have to repeat that we can’t make comment on this because it’s a sensitive element of our re-negotiation.
Claudio Descalzi: Okay. So E&P, Mozambique, so unitization we set out the following, we’re going to grow. And for the unitization, between the two joint ventures, so we start not only the discussion that we have with program. I cannot tell you exactly now and as soon as these issue of the unitization, I just can say that it’s not very complicate issue, we are in agreement, we really work together in our unitization. So I think that there will be a question that will – so by the end of this year, the unitization pass through different gates. But we define as very beginning – and in fact participation that is an initial one that we start working, so that’s started, that is something that we started positive with Anadarko. Then for the work program. As you said, correctly we are drilling for (inaudible), and I think we will get results from these appraisal well at the end of May, by the end of May. And then we continue back-to-back until the end of year. I think that we will be in the position to finalize our exploration activity by February and March of 2013. So that is the problem, and meanwhile we are watching on also on the development program, and on LNG, on infrastructure. So we are and probably watching also on the next steps.
Iain S. Reid – Jefferies International Ltd.: If can you just come back on the development program, are you working together with Anadarko even for development of prospects which lie entirely on Area 4, i.e., is it going to be like one facility rather than two or there?
Claudio Descalzi: You know that as internal – in PoD, you watch list in place of wells, and I think that is the clarity as we said is unitization and planned development in that areas. So that mean that we absolutely work together with Anadarko in term of development well facilities treating all this can stop. So we work again. Now we brought a new big discovery entirely in the area, in the Area 4 more than 8 Bcf and we are working on that, but it’s really in early stage, and we’ll see if – we’ll add a capacity in the first development or otherwise we’ll add within that additional element. But our priority is work on the – with Anadarko in this area.
Iain S. Reid – Jefferies International Ltd.: Okay. Thanks for your help.
Operator: Next question comes from Mr. Clint Oswald from Sanford C. Bernstein. Mr. Oswald, please.
Clint Oswald – Sanford C. Bernstein: Yes, thank you very much. A couple of questions. Just thinking about the Russian gas field that you started up recently, selling the gas to Gazprom, can I just confirm that, that is the kind of the regulated Russian gas price that you will be receiving or if there is any discount to that. And I note that your retained the buyback and marketing rights. Do you expect to use those rights at any stage or is that just a separate clause. Secondly, just wondering about your U.S. volumes, oil and gas seems to be a kind of a large step decrease in the U.S. gas production. Is that just a function of the gas price, and should we expect to see those volumes decreased further. And then just finally, quickly, just back on the Barents Sea maybe question for Claudio, just wondering how do you look at these estimates of 36 billion barrels of oil equivalent. Are you comfortable with that resource number? Thank you.
Claudio Descalzi: First, we talk about the Yamal area and was a question on the gas price. As you say the gas price come from a pro forma for our Yamal field, there’s always room to the domestic and being closer to the export, and so as you know the domestic that is regulating its update every year. So that is for the other gas producer in Russia. For the U.S., it’s to reduce our gas production that is not due to price, we reduce gas production in (inaudible) for maintenance program, and also from some technical reasons. So our aim is to increase – restore these productions in next months and recover the U.S. production average rate for fiscal 2012. The other resources for Rosneft, that is a preliminary figure coming from data, normally to the data in the Barent Sea, and 2D and 3D data, new data in the block in the Black Sea, so that is – we work with Rosneft, that is mainly Rosneft evaluation. Now we are right going to a new process of that acquisition, internal structure, volume and number of fractions. I think that these figures are tight and accurate, and from a volume point of view, then we have to see for a bit of feasible point of view, thickness and (inaudible) and through an instability of the system, because we are talking about volume in these figures. Or we can translate these figures in sales.
Clint Oswald – Sanford C. Bernstein: Well, that’s great. Thank you very much.
Operator: Next question, come from Mark Bloomfield from Deutsche Bank. Mr. Bloomfield, please?
Mark A. Bloomfield – Deutsche Bank AG: Good afternoon. I have two questions, please. Firstly, coming back to gas markets, just wondering if you can help us to get back a sense of the sustainable profit improvement. I mean specifically, if we set aside the debate around the retroactive element, to what extent do you think that you can enjoy kind of ongoing benefits from reduced cost of gas and actually retain those benefits as opposed to simply passing them on to your customers, when we come to the start of the next gas year? And the second question, I just wondered if could remind us of your exploration and appraisal activity plans in the legion part of Barents Sea. And also it’s Indonesia for the reminder of 2012, and thinking that number of wells, timings, target et cetera. Thank you.
Paolo Scaroni: On your question about gas, we can today confirm our guidance for 2012 that we gave out at Q4 results; and this means higher EBIT and higher EBITDA, which are the elements supporting this that make our estimate sustainable – a sustainable estimate. First we the closure of re-negotiation that is positively impacting retroactively, but of course also in the Barents that we are serving and will continue to serve. We have the benefit of the production of Libya that is back to normal and that is something that should continue. We have partially captured this year, the negative impact of the sale of the international pipeline. On top of that of course, we have to consider that the size of these exploration effect is our underlying marketing situation; our business will be more impacted in the remaining part of the year by the continuing increase in oil price and increased demand in Italy and Europe as well. So the mechanism that we’ve been used to prefect our result is again realigning our cost of supply to the market, to the renegotiation. We have number of (inaudible) contracts in which two important one this year. So these are the key of maintaining a sustainable, our results at the time of continuous marketing weakness.
Claudio Descalzi: Okay, Exploration. So as you know Norway and Indonesia are two of our best hub in term of exploration potential. We forecasted real to actually in Orion new prospects. We have additional 11 prospects in that region, actually data in the next three years. So these years we’ll explore two new prospects that are not really far from Skrugard, they are south of Skrugard. And for Indonesia, we start also this year, we have to appraise, we have an appraisal campaign in the (inaudible) Northeast, and we also in this case we’re drilling the next couple of years, additionally five, six wells, seven wells, sorry. So again, these two obviously, I think that in the next three years will increase our shares base and meanwhile we’re also developing different fields in the area, where we can get the FID in the next couple of years. So it’s not just exploration ops but also very important production development and production ops.
Mark A. Bloomfield – Deutsche Bank AG: And if I could follow on for a moment, I know you talked about 11 follow-on prospects in the Barent Sea, I think can you give us any sense of the average size of those prospects perhaps relative to the size of the existing discoveries that you’ve made there?
Paolo Scaroni: Yes. I think, that we are in Barent Sea, so we need a reasonable resource to drill exploration well for future development. So we can say that we are more or less internal, while our potential target in the same size, volume of what we drilled until now. The range is between 200 million and 250 million barrel in kind of results. So that is our target in this kind of prospect.
Mark A. Bloomfield – Deutsche Bank AG: Thank you very much.
Operator: Next question comes from Mr. Karim Rahim from Barclays. Mr. Karim, please.
Karim Rahim – Barclays Capital: Hi, good afternoon, gentlemen. Two questions, if I may. The first on the Galp and specifically I just wanted to ask about your thoughts on the exchangeable, whether you decided that this should be mandatory or not? And then any color you could give us that would be appreciated. And then second on Snam, maybe you could just give us an update Alessandro on the discussions that you are having with the banks in terms of the rich financing for Snam, how that’s progressing, and if there is anything that we should be aware of that? Thanks.
Paolo Scaroni: Well, Galp – yes, for Galp of course we are starting a project including evaluating what could be the most appropriate strategies to be applied in order to monetize at least a portion of our stake, but I repeat, starting from the situation whereby today the present market price do not meet our minimal expectation first. Second, in terms of convertible, we do not exclude the possibility to apply for a convertible, replace a convertible bond that is not mandatory to a convertible bond, is just one of the strategies, which we can apply in monetizing our stake, but so far it’s not in our radar screen the placement of convertible with Galp Shales. Then as far as Snam, Snam, your question, I can understand your question, of course, but we are not the appropriate entity to who you can place your question, you can raise your question, because of course we are cooperating with Snam, but the entity the company who is presently engaged in setting up the appropriate bridge financing is Snam itself. As you know, Mr. (inaudible), just if I will remember, yesterday has already disclosed that they are working in order to get an autonomous rating that is shown. And then as soon as the rating will be obtained, they will start actively in placing their debt in the market. As far as we know, as per our knowledge seems, I repeat we participate with them in the meeting, so with the banks they are progressing extremely well. Of course their reputation of the company and the solidity of their balance sheet, support extremely well the possibility to obtain an appropriate bridge financing, at very interesting price, very, very solid.
Karim Rahim – Barclays Capital: Great. Thank you.
Operator: Next question comes from Mr. Jason Kenney from Santandar. Mr. Kenney, please. Mr. Kenney Jason. Mr. Jason is not available at the moment. Next question comes from Mr. Della Vigna from Goldman Sachs. Mr. Vigna, please?
Michele della Vigna – Goldman Sachs International Ltd.: Hi, thank you for the presentation. I’d like to ask two questions if possible. The first one, Claudio, could you update us on the Kashagan development, and what you think will be the key milestone to achieve the stable production rate of 70,000 to 80,000 barrels per day by the end of the year, and the second is for Alessandro. In this Q1 results, the only slight disappointment was R&M and chemicals within a very good set of results, I was wondering not to worry about one month into Q2, do you see an improvement those areas or the situation is likely to remain as challenging? Thank you.
Claudio Descalzi: So let’s start form Kashagan, Kashagan, I think that can be very positive news. I mean that one of the main milestone was the hookup and properties (inaudible) and 90%, 95%, in May, so this drop is completely finished. We already start testing all the line with gas, so the gas is on the R&D, we can also now practically say that the commissioning is going very well. So without any big issue, one possible issue was the asset integrity of the package finalized in 2008, and we can say now that there is no problem. The asset integrity has been passed positively last week. So I feel that it’s really – we are in a good shape, and good shape means that we reach the commercial production of 75,000 barrels by December, we have to start production by the first week of November and run that. And all the team, all the management is really cautious and following up these last step on a daily basis and it might be easy to (inaudible) and I believe that I can say every two weeks from the headquarters, so the reason very – [it moves apart].
Paolo Scaroni: As far as refining and marketing and petrochemical, as you correctly stated, we have experienced a quarter of quite disappointing results, but not for sure not due to our performance. The performance – the industrial performance in both the segments had been extremely satisfactory. Unfortunately, both of them have not been assisted by this scenario, the market scenario, which both of our refining and for petrochemical the scenario, which consists predominantly in the high cost of the oil, which represent the cost of the raw material for both of them have negatively more than in past affected their results. Then what we are assisting now in particular immediately after the closing of the quarter is our sign of the first improvements both in refining margins and in the chemical market. So all in all, we will remain a little bit pessimistic for the entire 2012, also not for sure we did the same magnitude that we experienced in the first quarter. So the first sign of recovery which we are looking at in particular in April, we hope that this situation will continue all over the rest of the year allowing the possibility to record a little bit the very negative situation we have experienced in the first quarter of the year.
Michele della Vigna – Goldman Sachs International Ltd.: Great, thank you.
Operator: Next question comes from Mr. Nitin Sharma, from JPMorgan. Mr. Sharma, please?
Nitin Sharma – JPMorgan: Good afternoon gentlemen. Two questions, if I may. First, you signed an MOU with PetroChina last year. And if I am not mistaken, the objective was to look at unconventional blocks in China of PetroChina projects in Africa. Any progress on this front? Second, recent events in Argentina nationalization at all, does it have any impact on either the timeline, or the scale of investment plans that you have for your projects in Venezuela, in terms of your risk perception? Thank you.
Alessandro Bernini: Okay, so, E&P, both questions for E&P. Well, PetroChina, I think that we’re progressing, we’re working. And lending out to the scope of this MOU was to have an exchange of lots of data and then utilizing data, across evaluation test. We’re working positively. I think that, I always and quantify the, a good result for programs. So we’re working. I remember that we have also an EBITA, it sounds like that is more or less on the same line. So we’re working, we’re working, obviously we’re quite confident that we can – we will have access also to the shale gas in China. For Venezuela, I don’t think that we will have any impact also if you want to depress, I think that you’d have a declaration and the announcement of the administer. And, they said that they confirmed that they don’t change at all any terms and condition of our agreement. And they did that immediately after they knew that results from Argentina. So I mean that – that means that, it was a very sensitive problem for everybody. They want to have international company working with them, we are working quite well with them, we’ve figured this, we’re progressing and working very well on all our work projects. So I don’t have any mediatory perception on selling as far as Venezuela is concerned.
Nitin Sharma – JPMorgan: And Claudio if I may just add one more, any updates on Iraq piece of development?
Claudio Descalzi: Iraq, yes, in Iraq it’s, when we talked during the strategy presentation and we didn’t talk a lot. We are not very happy about the slowdown and the (inaudible) well our presence in Iraq especially because of bureaucracy. In the last month, I think that is a product that we are progressing, they approve some very important contracts for us in term of building and early facilities for production, for oil treatment. So we’re moving on. And I think that we’re in position to concern our targets, production target for Iraq in 2012 that considering the price after this is about assuming G&A, $18,000 per day equity production.
Nitin Sharma – JPMorgan: Thank you.
Operator: Okay, next question comes from Jon Rigby from UBS. Mr. Rigby, please.
Jon Rigby – UBS Ltd.: Yeah, hi, three questions please. The first question is for Alessandro. Can you explain to me how it will work once the split which then takes place with the debt that you have, that you lend on to them. Will you go into the market and repay that debts or will you keep it. Can you make some money actually on retiring it, I guess, given where markets are. Can you just explain to me a little bit about the mechanism of that? The second is on Kashagan, just a follow-up on that. Could you explain, how many people or just confirm, how many people you have working on that at the moment. And so to contrast that with, how many people you would normally expect to be working on an operated JV? And just may be sort of contextualize it by where those people are likely to go and how quickly once those production is raised? Thanks
Alessandro Bernini: So starting from your first question, with reference to the repayment of loans we have granted to Snam. As you know, all the loans that we have released to Snam includes, had a close whereby as soon as the company will not be considered a subsidiary of ENI anymore. The company has a maximum time 6 months in order to repay entirely the existing debt. Okay, and of course the company is actively and efficiently, and positively working in order to be ready to satisfy the contractual provision. Then as soon as EMI, we’ll have repaid back the entire amount, what we will do with this amount? For sure, as a first step, we will repay those loans granted by banks which carry the higher financial costs. And then for the rest, we will increase our liquidity. As many other energy company, oil companies of our peers group, the liquidity that they have and it is useful to have must is an amount which should be enough to cover at least one year of spending. Today, we have much lower situation but for sure, as soon as we have the cash coming from the repayment of the loans from Snam. Our strategy is to increase significantly our liquidity in order to be able to face any potential changes in the market that even when in case of very negative, when the financial market should move or can move in a very difficult situation. Because we are convinced that with the troubles, which affected the financial market recently, the troubles are not over, we’re still in a quite difficult financial environment. So it is better to face the future with a strong shoulder. So for sure, we will keep on board most of the cash coming from the repayment of the loan increasing the liquidity of our (inaudible).
Claudio Descalzi: Okay. Thank you. Now we are about considering any staff – contracted staff, we have about 2,000 directing, it’s about between 600 and 700. Until, June I think, June next year I think that we will have these start to normalizing in January, February next year, because we have all the 2012, all the 2013 ramp up, so we have to leave some people of our team or letting in the Shell and KMG people that we will takeover in January. The team of Shell and KMG is really in place for some years, so they are working us. So we have this people, we reach production, the full production in January, they’re on paper, and we start to normalizing in – I’m sorry again in 2014, we start the normalization in January, in January 2013. So in one year, we are going to normalize all our people. We need these people because you know that we are in lot of different ups in exploration and development and production staring from Mozambique, Barents Sea. So I think that a lot of people that now are working in Kashagan, they will work in Russia and in Barents Sea and also somebody in Mozambique. So that are the three main hubs where we use our people in the future.
Jon Rigby – UBS Ltd.: Okay. That’s interesting. Thank you.
Operator: The last question comes from Mr. Neill Morton from Berenberg. Mr. Morton, please.
Neill Morton – Berenberg Bank: Thank you very much. Good afternoon. I had two questions on Mozambique, please? Chevron quite clear yesterday in saying that their bid for coal was a sort of an gambit in terms of increasing their stake in the future. You previously said that you would like to be operator of combined development. I just wonder what your thoughts are – of a big LNG company moving in next door? And then just secondly a clarification, on that coal field, they recently got a ruling regarding the capital gains tax of 15%. I just wondered, as far as you are aware, is that an ad hoc ruling with regards to coal, or will that also try to ENI, if you were to sell down your 70% stake in that Area 4? Thank you.
Claudio Descalzi: First, talking about development, we said that we’d like to develop our resources base and that is clear for our experience and for our knowledge for Africa and knowledge of our offshore. We don’t (inaudible) also with Anadarko, a joint operatorship, and that is for the upstream. For the midstream as you know, worldwide normally there is a continuing joint venture by normally a company with a – through, which we develop the LNG like we did in Angola, or Nigeria or in Egypt. So that will be the way on which we are going to develop the LNG, so I think that’s it shall be regarded, is welcomed. We work with Shaul and we start with Shaul, we mean the LNG big project in Nigeria, in 1992, 93. So some 20 years ago. So it is a good and there is a little bit of softness that’s in all these well. And I think that it is the one of the first company to do so. I think that is a good point for the join venture for everybody, if they join us.
Neill Morton – Berenberg Bank: On the tax?
Alessandro Bernini: Further taxation, I think that – I don’t feel that there is low that would be all exactly the ad hoc for a company, since they could deal with deals. So I think that it will be valid for everybody and if we’re going to reduce our share we have to pay these tax that are at moment is – we repeated several times. Now we are focused on what we have to do in long-term selling. We don’t want to sell, we don’t want to reduce our share, and want to keep a strong position in margin mix.
Neill Morton – Berenberg Bank: Great. Thank you very much.
Operator: There are no more questions. So ladies and gentlemen the conference is over. Thank you for calling.